Operator: Good afternoon, and welcome to the Mogo Q2 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Craig Armitage, Investor Relations, you may begin your conference.
Craig Armitage: Thank you, and good afternoon, everyone. Thanks for joining us. I'll just do my normal kind of quick recap in a few notes before we get started. First, I should note that today's call will contain forward-looking statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected. The Company undertakes no obligation to update these statements, except as required by law. Information about the risks and uncertainties are included in our Q2 filings as well as periodic filings with regulators in Canada and the U.S., which you can find on SEDAR, EDGAR and through our Investor Relations website. Second, today's discussion will include adjusted financial measures and non-IFRS measures. These should be considered as a supplement to and not as a substitute for IFRS measures, and you can find reconciliations both in the filings and in the deck. And lastly, the amounts today are discussed in Canadian dollars, unless otherwise indicated. I'll now turn the call over to Dave Feller to get us started. Thanks. Dave?
Dave Feller: Thanks, Craig. Welcome again to our second quarter 2020 results call. I'm joined today by Greg Feller, our President and CFO. No question that Q2 was a challenging period, broadly in the fintech space, with many companies seeing significantly declining revenue year-over-year. While we also faced some headwinds, our 27% revenue growth highlights resilience and diversity of our business, something we've worked hard to build over many years. In this difficult macro environment, with inflation and stock market volatility top of mind, consumers have less money to spend, and they're also looking for better value. These pressures mean our products are more relevant today than ever. This quarter was also one with a focus on expenses, cash flow and balancing growth with profitability. This is demonstrated by a 14% reduction in expenses and improvement in cash flow from operations, which Greg will go into more detail a little later. While we are reducing our cost structure and moving on an accelerated path to profitability, we are not losing sight of the tremendous growth opportunity and continue to invest in key growth opportunities like our new commission-free stock trading app, MogoTrade. Our mission continues to be a driving force, helping Canadians achieve financial freedom and positive impact. And in today's world, we believe this mission is more relevant than ever. We've turned the mission into a simple formula that helps guide our road map and our experience. Our goal is to build products and make it easy to follow a formula for achieving this. This formula ties into three key products: spend management, passive investing and active investing, which brings us to our newest product and the biggest product initiative in our history to date, MogoTrade. In Q2, we continued to advance the product and accomplished a lot in the quarter, which positioned us for the recent announcement that we have now removed the wait list. So that means the app is now available for anyone to download and sign up on Android and iOS. This is obviously a really exciting milestone, and I want to say a special thank you to the entire team that has worked tirelessly to get us to this stage. Not only has this been our biggest initiative we have ever undertaken, but the level of the product we have built, I believe, is truly impressive. We believe we have created something truly unique in the Canadian market. In fact, this is the only stock trading app that we know of anywhere in the world, where every investment you make has a very measurable impact on making the world a better place. This takes ESG investing to a whole new level. In addition to this, we've created a very simple and compelling user experience that also includes real-time streaming prices and one of the lowest FX fees in the market. At 0.75, this is less than half of what some of the competitors charge. I invite you all to sign up and see for yourself. Now this is just the beginning of MogoTrade. And as we continue to get valuable feedback from our customers and iterate and improve the experience as well as launch new features every quarter. A few of our upcoming features include things like real-time price notifications and stock movement, more funding options that enable our users to easily transfer money into their account as well as an account transfer option where users can easily transfer over accounts from other brokers. We plan to continue to evolve this product with the goal of becoming the most popular stock trading app in Canada. Longer-term plans include full crypto trading, fractional investing and many other exciting features. In addition to the work on MogoTrade, we also continue thinking through our growth strategy for our passive investing solution, Moka. We acquired Moka last year, and this product is one that we continue to get more and more excited about. As important as trade is, having a best-in-class passive strategy that enables anyone to automate their wealth building is critical, and for most people should be their primary wealth building strategy. Moka is just as big of an opportunity as trade, especially when looking at the size of the market. With approximately $2 trillion invest in mutual funds in Canada today, as you can see, our value proposition is very compelling. Because of our low fixed fee model, the same amount of money invested through Moka versus the mutual fund, assuming both track the S&P 500, as you can see with Moka, you'd end up with over 60% more and the difference continues to grow over time. Our goal is to continue to evolve Moka from a short-term savings app to one that also becomes our members' main long-term wealth-building solutions. From a product perspective, we continue to build products that we ourselves would want to use and be proud to share with our friends and family. This is also a solution that I wish I had when I first started out, and not only has it become my main passive solution, both my kids are now on their path to financial freedom using Moka. Lots of new features and improvements to come on Moka, and if you haven't already checked out yourself, I encourage you to do so. As always, we welcome all feedback, good and bad, to help us make it even better. Although we have been primarily focused on our digital wealth platform, we continue to be excited by the growth opportunity with our MogoCard, which has proven to be a highly effective tool to help people control their spending, which is a harder part of wealth building. Like trade, this product makes it easy for anyone to make a really big impact for their spending. Most of us have been experiencing the heat waves of late and climate change continues to increase and important, yet most people don't know what they can do to make a meaningful impact. The MogoCard, unlike any debit or credit card, makes it easy for anyone to not only eliminate their carbon footprint, but actually get climate positive. In fact, our average card user is climate positive, i.e., removing more CO2 from the atmosphere than they are contributing, all for free. Again, I challenge anyone to find a simpler and more effective tool for stopping climate change than the MogoCard. If 25% of transactions in Canada were down the mica today, Canada will be climate positive today, decades ahead of its 2050 goal. In terms of impact, we now have two partners that we work with, both of them focus on tree planning, but in different ways. Our newest partner is an innovative Canadian company called Flash Forest that uses drones plant trees. Through our Flash Forest partnership, we've already planted 100,000 trees in Canada, focused on areas that were devastated by wildfires. This tree planning is designed to not only help produce CO2, but also plays an important role in helping restore and maintain the natural ecosystem. So the benefits go beyond just carbon absorption. All of us want to not only achieve financial freedom but do it in a way that also helps build the world we all want to live in, making a positive impact has to be measurable and meaningful, which is one of the challenges with ESG investing. With Mogo, our members can clearly see the impact they're having and see with full transparency of the partners and the impact their actions have. Lots more to do on this as we continue to evolve and improve, but we're already proud of the fact that we've planted over 1 million trees as just the side benefit of helping our members get on track to financial freedom. With that, I'll turn the call over to Greg.
Greg Feller: Thanks, Dave, and good afternoon. Given our full results were posted this morning, we'll be brief with my comments and we get to your questions. Our Q2 sales results were solid despite our reduced spending in marketing in the current macro environment headwinds, which further highlights the diversification and recurring nature of our base. Key highlights for the quarter include 27% year-over-year revenue growth alongside of 18% member growth. Payment volume in the quarter of $1.7 billion through our payments made in Carta. Quarterly gross profit of $11.3 million, which is down sequentially due to increased loan loss provisions as we return to more normalized pre-COVID default levels as well as the impact of an additional provision required under IFRS to account for forward-looking factors given the macro challenging -- more challenging macro environment. With the benefits of a recent cost-cutting initiatives kicking in, we also saw an improvement in our adjusted EBITDA loss of 25% from Q1. Lastly, we ended the quarter in a strong financial position with combined cash, digital assets and investments totaling $122 million, which is after the impact of taking close to $38 million of non-cash write-downs under investments. As Dave mentioned, we surpassed an important milestone in the quarter of 2 million members, with total members up 18% over last year. The quarter's growth achieved was despite our decision to proximately reduce marketing spend in the period to focus on efficient marketing, including a faster payback period from our members. The decrease in spend, of course, is a direct impact on our member growth this quarter. Our member base continues to be a major asset to the Company puts us in a small number of Canadian fintechs with member scale. During the period of economic and financial market volatility, fintech business models that reliance on non-recurring transaction-based revenue have been particularly hard hit. Conversely, our revenue was up 27% over the same period last year, which is a testament to the primarily recurring nature of our revenue, and position us well to manage through periods of macro headwinds. Approximately 94% of our revenue comes from subscription, payment processing, interest and other recurring revenue streams. In addition to the recurring nature of our revenue, we've shown that despite the impact of macro conditions, our business model can still generate healthy margins. While our businesses proved comparatively resilient, we were not immune to the macro economic backdrop and acted accordingly by reducing our expense base. During the quarter, we implemented a cost savings plan to reduce non-cash OpEx by 14% compared to Q1. These are never easy decisions; however, given the current economic uncertainty, we believe it's appropriate and prudent to assume these challenges will persist through 2023. And as a result, we plan to continue to manage our growth investments more conservatively with a greater emphasis on driving towards profitability. The actions we started in Q2 had a material and rapid positive impact on our cash flow. Specifically, net cash used from operations before investment and loan receivables improved 62% to $2.8 million in the quarter compared to $7.2 million of cash used in the first quarter. We expect to see further benefits from our cost reduction initiatives in Q3. Mogo's high recurring revenue base and flexible operating model has allowed us to quickly change our priorities of top line growth versus profitability. If you have followed Mogo for some time, you will recall that we generated very strong positive EBITDA margins through COVID when we decided to reduce our spend. Specifically, in the first quarter of 2020, we were able to dial back our cash OpEx by almost 15% along with our high recurring revenue component, resulting in us generating an average of $5 million of adjusted EBITDA or approximately 50% adjusted EBITDA margins over the subsequent two quarters before we decided to resume our growth again in Q4 of 2020. Although we are not being as aggressive today in dialing back our growth spend, given our confidence in the return potential of our investment along with the strength of our balance sheet beginning in Q2 of this year, we did make the decision to moderate our growth investments to adjust the balance of top line growth and path to profitability, but the target to hit adjusted EBITDA breakeven by Q4 of '23. Outside of our core digital finance products, we continue to see a big opportunity for our digital payments business, Carta, despite a customer-specific headwind for facing '22, which we discussed last quarter. Notwithstanding this, given strong underlying growth for our customers, we increased overall transaction volumes sequentially in Q2 to approximately $1.7 billion. We believe Carta is a valuable and underappreciated asset in a growing market poised to benefit from secular growth trends and see significant opportunity for this business to drive shareholder value in the future. During the quarter, we recognized $39 million of net non-cash charges, mostly related to the write-down of our investment at Coinsquare, our digital assets and other investments in our portfolio, which collectively were the primary contributor to our $51.9 million reported net loss in the quarter. Despite these non-cash charges, we continue to have a very strong balance sheet. Specifically, we ended the quarter with cash, digital assets and investments totaling $122 million. This included cash of approximately $44 million and an investment portfolio that now totals over $78 million. The largest investment in this portfolio is approximately 38% ownership in Coinsquare, which had a book value of $63 million as of June 30, '22. We continue to be believers in crypto as an asset class and believe that our investment in the sector provides significant value creation opportunities for our shareholders. Coinsquare, in particular, we believe, is well positioned to become the first fully regulated crypto investment dealer and ATS in Canada later this year, which would be a milestone event for both the Company and the industry. With today's results, we help to reiterate in our most recent '22 guidance, despite the short-term headwinds, total revenue is still expected to grow between 20% to 25% this year to $69 million to $72 million. We also stated we expect improved adjusted EBITDA margins in the second half of the year, which we already demonstrated in this quarter. Looking out to '23, we are currently managing our growth investment spend, assuming total revenue growth for '23 in the range of 10% to 15%, with the goal of being adjusted EBITDA positive in Q4 '23. Again, given the macro conditions, we believe the strike's right balance, enabling us to shift our investment spend to the most impactful areas such as MogoTrade and Moka. In these uncertain economic times, financial well-being is as relevant as ever to Canadian consumers. And we want to bring them the best tools and products to help them save, invest and achieve financial freedom, while also making a positive impact with their money. With that, we will now open the question -- open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from Adhir Kadve from Eight Capital. Please go ahead.
Adhir Kadve: I wanted to ask on MogoTrade. I know early days in terms of the rollout, but any early callouts you guys would have on MogoTrade? Things in the realm of user sign-ups, how those are trending? What kind of things you're focusing on in terms of improvement? And just on the go-to-market campaign that we're going to see earlier in the year, any additional color on that?
Dave Feller: Sure. It's Dave. Yes, I mean, obviously, the initial goal was to remove the wait list by the end of last quarter, and we actually decided to hold back on that. And obviously, we're trying to take a kind of very kind of careful, thoughtful approach in how we're rolling this product out. Obviously, it's -- as we say, it's not only our biggest product. It's a very complex product, a lot of moving parts. And it really is about trying to make sure that we've got everything as right as possible. And with the wait list that enabled us to bring on enough users to be able to actually test the product out, get the feedback, identify issues. Some of them can obviously be bugs and others can be user experience items. And for those reasons, as we get that, we're also doing Net Promoter Score, so surveys gauging the response rate on the product. What I can say there is our initial Net Promoter Score is very encouraging. It's in -- anything essentially above zero is considered a net positive, but we have quite a few segments that are considered active promoters of the product. A lot of the specific feedback we're getting aligns to our value proposition, just comments around the simplicity of it, including comparing it to Wealthsimple, which obviously is the biggest commission-free trading app in Canada. And obviously, for us, there's clearly a big growth opportunity in terms of just the free users they have. Obviously, that's the biggest segment of users are those on the free side. So our value proposition compared to them is very compelling. Not only is the experience a lot easier because they've now move forward with bringing a lot more things into the app, so this one is, again, just focused on stock trading. We have real-time streaming quotes, which they don't have. Obviously, we have the impact component, which we think is increasingly important and relevant for all consumers and obviously, including the millennial and Gen Z segment. And then our fees on the free side are half of Wealthsimple. So, it's a pretty simple and compelling value prop, and one we're excited to get in front of those users. In terms of kind of the rollout plan, obviously, we're also just looking at the market conditions in general. Our plan is to continue to carefully market this product, beginning with our internal member base. And we'll keep an eye on when we think the time is right to start getting a little bit more aggressive with a broader marketing campaign. So that could be as early as Q4, but I think, generally, we're really focusing on kind of getting gearing everything up so we're in kind of solid growth mode for next year, beginning Q1.
Adhir Kadve: That makes sense. And then just maybe as a user growth catalyst, I know the pullback on marketing spend, do you find that this product can actually catalyze that and kind of accelerate that moving forward, just given how -- like you said one of two products like this in the market. It seems as though this could be a bigger "marketing campaign" than really anything else?
Dave Feller: Yes, definitely. I mean, obviously, we're not in a situation where we're fighting big comps from the year before in terms of peak trading, retail trading. For us, we're coming out in a market where essentially we're starting at zero. So don't forget, in the bigger months when Wealthsimple was going back in 2020 and 2021, I mean, it got to a point where they're signing up for 100,000 a month. So depending on where the market gets to, obviously, this is, it's a big opportunity. And we're really focused on just trying to make sure that this product really delivers from a personal experience that actually drives word of mouth, right? So just in terms of even efficiency, how do you go out there, increasingly trying to not rely on the expensive customer acquisition and really putting the value proposition into the product and looking for that to really kind of drive word of mouth. So we'll also be focusing on referral type campaigns, contest, things that help to kind of drive some excitement around it. But we have also actually prepared a campaign and potentially could even be a TV spot, and that actually is almost completed. So we're kind of ready for when we think it's the right time to get that bigger message out there and really going to be using MogoTrade as well as a brand-elevating product as well, right? Really is that new way to kind of reintroduce Mogo, elevate our brand and introduce it to basically a segment of consumers in Canada that really have never been aware of and/or a Mogo member.
Adhir Kadve: Yes. And then maybe just on the back of that last comment. Is that kind of what prompted the shift? Because last quarter, you were kind of mentioning that you want to go out with more of a minimal viable product and then kind of grow on that. But now it seems as though you're really taking a much more measured approach. Is that kind of driven by the macro? Or is that kind of more driven by you have a really good opportunity here to drive adoption of the product?
Dave Feller: Yes, there's no question. It's a little bit of both. Obviously, if we were back in the heyday of retail trading, it would be a different approach for sure, right? But I think, generally, we're -- even our current product today, and I don't know if you've had a chance to sign up and give it a try, but give it a try and give us your feedback. That it's clearly even beyond just the basic minimal viable product. And with some of the features we have coming up shortly, including even things like price notifications that are automated based on specific movements in the stock that you don't have to preprogram, these are examples of features that in almost any app in Canada today, you won't see. So the challenge, obviously, from a product perspective is coming up with features that really differentiate you from what's in the market even though they may have some other features and potentially products that you don't have, right? So, we're really kind of being careful, and obviously using customer feedback to determine which we think are the most important things. But ultimately, as you release these new features in that, that actually does become really your main driver of growth, right? People are starting to bring more assets onto the platform, more likely to share it and talk to their friends. So -- and, again, continuing to look at both our customer feedback as well as keeping an eye on the macro environment and be in a position where we're ready to kind of get going pretty quickly if we feel the time is right.
Adhir Kadve: Got it. And then maybe just shifting gears a little bit to the forward guidance. Can you unpack that a little bit for us? Because it seems as though, again, MogoTrade just -- it seems like it's going to be such a big product. It seems like it's going to really catalyze your growth a little bit. I know you guys talked about a level of conservatism baked into the guidance, but can you just maybe unpack that a little bit for us?
Greg Feller: So yes. Adhir, it's Greg. So just to reiterate, obviously, we kind of reconfirmed our guidance for '22. We haven't given actually formal guidance as it relates to '23 as much as what we've stated is how we are managing the business today. And look, our perspective is this that we're obviously in a very volatile period from a macroeconomic perspective among other perspectives. And there's a lot of debate as to where the economy goes in 2023. And depending on that being more positive or negative, it's going to have an impact overall on the economy and the consumer and, ultimately, businesses, including, by the way, on things like trading volume and things like that, that will impact Mogo and the rollout of that product. Our approach is to take a conservative approach as it relates to outlook and the economy. So instead of us assuming everything is going to be great, we're taking a pretty cautious approach on the economy. And within that context, we are going to be managing our spend, our investment in that on that basis, and really sort of targeting this, as we said, the 10% to 15% revenue growth in 2023. So if you think about the dials for us profitability, it requires a certain level of revenue against a certain level of cost, and if we're managing that business to a higher level of revenue, i.e., we're planning to spend more and things change, then your risk on hitting those targets. So that's our approach, obviously, the trade itself. We're super excited about it, but it's just really starting to get out the door now. So we don't have any real data points yet. And clearly, trading volumes in general remain down. So that is the context that we're sort of stating this target that we are managing our business. So again, it's not formal guidance, but we think that is the prudent way for us to manage our business in this environment. Look, this is -- we've been public now for seven years. We have managed through cycles, and we have managed through the global financial crisis, which we may be one of the only fintechs that is public that actually has been around that long. So we've seen cycles. We managed through them, and we feel confident we have the team and capabilities and, quite frankly, the diverse recurring revenue base to be able to do that. Also, as I say, if you don't have scale, you can't cost cut your way to profitability. We believe we do have scale. We talked about it in my remarks that going back to Q1 2020, when we were doing $10 million of revenue, we turned that dial back and generate close to 5% EBITDA margins on $10 million a quarter of revenue, and now we're just over $17 million a quarter of revenue, and we continue to have those dials that we can adjust. Right now, we're not adjusting them nearly as strongly as we did back then because we do believe in the growth opportunity and the investment opportunity that we're making. But we will continue to monitor conditions and adjust as necessary. But at this point, we're going to take a more conservative outlook as it relates to 2023 and adjust from there.
Adhir Kadve: Got you. And maybe if I can just sneak one last one in, and then I'll pass the line. Just on Moka. It just seems as though with MogoTrade coming out now, and Moka, it seems like a very complementary set of products. I know in the past, you guys have mentioned that you'll bring Moka under the overall Mogo banner. Can you give us a sense of how long that would kind of take, or what the road map is there -- or sorry, what the time line is there to kind of bring both of these products together?
Dave Feller: Sure. So yes, I mean, definitely, obviously, that is a very real opportunity, and we continue to see it as a big opportunity. We've tried to stay very focused on the priority around trade and essentially dedicating the resources to that product. And now that we've actually passed the current milestone in terms of the invite and feeling that, that product is more at a state where we're starting to get it out into the market, we're just now going to start putting some more resources on Moka. So that actually is just going to be starting now and that will actually happen in parallel with trade. I can't give you exact kind of timing of exactly what we're doing there. I mean we've been thinking through the strategy and doing a lot of planning around it. But we are expecting to continue to improve that experience, new features, enhancements to the user experience, et cetera. We've already made some pretty material updates, including how that value proposition is marketed and communicated. You check out the website to see that. So, as we continue to kind of move it towards being a long-term investing, wealth-building app, alongside a short-term savings app. So, a lot of those changes have already been made. And while we kind of -- once we kind of start getting some of these features out there, part of that is obviously looking at all the different ways in which we can better integrate the experience. So there's a few different paths. We just haven't decided on which one, but probably give more color and updates on the next quarter.
Adhir Kadve: Got it. So this won't be impacted by the cost-saving measures?
Dave Feller: No. No. So, yes, I mean, to Greg's point, we are still, from a strategic perspective, very focused on this kind of digital wealth platform, passive and active. Obviously, the active being trade. We didn't even have a product. Now that is out there, essentially, we're going to be focusing on both Moka and trade in parallel.
Operator: [Operator Instructions] And your next question comes from Scott Buck from HC Wainright. Please go ahead.
Scott Buck: So, I have a couple on crypto here to start off with. First, it seems like over the past few weeks, investor sentiment has turned more positive towards crypto. Wondering what you guys are seeing among your customer base, and whether you're seeing an uptick in crypto trading?
Dave Feller: Greg, do you want to take that?
Greg Feller: It's Greg. So I would say we have a very limited crypto offering at Mogo with a Bitcoin only account, which we were early in the sector, which was exciting when we did it, but clearly now, most crypto investors are looking for access to more alternatives than assets. And obviously, our road map is to bring in full crypto trading at some point in time into MogoTrade and really kind of bring together equity trading and crypto trading at some point in the future. But I think that, obviously, our real significant investment in crypto is in our approximately 38% interest in Coinsquare. Coinsquare, as you know, is one of the leading crypto trading platforms in Canada. We are super excited about the opportunity there. As I mentioned, they have been very focused -- I think one really important point on crypto for U.S. investors is that the Canadian regulatory framework is a lot more certain and stable and clear than the U.S. Obviously, there is regulatory overhang as it relates to crypto right now in the U.S. given people are sort of waiting for that framework for the biggest crypto exchanges. In Canada, Coinsquare is focused on -- as I mentioned in my remarks, on becoming the first fully regulated crypto investment dealer and ATS in Canada, which they're expecting they're going to get that before the end of the year, potentially before the end of Q3. So that we see is really a milestone event not just for the Company, but for the industry. And again, actually not just in Canada but in North America. Again, as we talked about also that this is a regulated industry that we're operating in and crypto being the same. And so we do see big kind of geographic borders and barriers between geographic markets like the U.S. and Canada, which is why we remain focused on the Canadian opportunity. So obviously, then we've taken a meaningful charge this quarter on a non-cash charge, but we remain big believers in that as an asset class going forward, especially for the next generation and one that we're excited to have a meaningful investment that we believe, in the long run -- in the medium to long run, is going to going to provide meaningful opportunity for our investors.
Scott Buck: Great. That's very helpful color, Greg. Second question for me. As you crossed the 2 million member mark, how should we think about what the market is? Are there an incremental 2 million members out there that would make sense? Or is the number significantly higher than that?
Dave Feller: So it's Dave. Maybe I'll just make a couple of comments here. So yes, in terms of -- from a member perspective, just to put it in perspective, RBC, the largest bank in Canada, has approximately 13 million active customers, right? So obviously, we have a member count, but then we have obviously a portion of them that are actually active within our products. And so there's, A, there's an opportunity in terms of just getting more and more of our members active within our products, including cross-selling, obviously, including getting for example, Moka users to become trade users and vice versa. But from a member perspective, there's no reason that Mogo couldn't get above 10 million, right, in the Canadian market. So obviously, a lot of growth opportunity. As an example, we're still not -- we actually haven't been in Quebec, right, which obviously is a large province in Canada. Material amount of the population is in Quebec. We are live with Moka in Quebec, and MogoTrade, today, is not available in French and Quebec, but it will be before the end of the year. And that will also start to obviously bring that part of the market on as well, which predominantly has been part of the Mogo member base.
Scott Buck: That's helpful. So when we think about your revenue commentary for 2023, how much of that 10% to 15% is coming from just better monetization of the current customer base or member base versus adding additional members onto the platform?
Greg Feller: Yes, Scott, I'll try to answer that. I mean, I think it's a mix. I mean our plan is to continue to grow our member base, and I guess what I would say is we expect once we kind of launch MogoTrade marketing campaign, really, everything we're doing is try to sort of set us up so we hit the ground running in Q1 and are in a position to see accelerating growth and including net member additions quarterly in 2023. So that's really what our goal is. And we see MogoTrade as a great opportunity to grow the member base at a very attractive CAC. From an overall ARPU perspective, we've also talked about this, but there's a big mass of TAM as far as what the available financial wallet sizes of the customer in Canada. Again, average Canadian Bank over $1,000 of ARPU per year, and Mogo right now, sitting around $35 of average ARPU across our member base, so clearly, a big opportunity there. But actual ARPU could go down as member growth goes as we -- increases and we add on lower ARPU customers initially, which may be customers that come on with smaller dollar trading amounts on trade and then grow with you. So, we're more focused on driving the member growth and overall revenue growth and less ARPU growth in the short term. In the long term, we obviously see a significant upside opportunity as we increase the monetization of that member base to also then drive higher overall ARPU across our members.
Operator: And there are no further questions at this time. I will turn the call back over to the presenters for closing remarks.
Dave Feller: Well, thanks, everybody, for your time today, and we look forward to updating you on our Q3 results. Again, if you haven't already done so, I encourage everybody to download and try the new MogoTrade App and please share your feedback, good and bad. Thanks.
Operator: This concludes today's conference call. You may now disconnect.